Operator: Good morning, ladies and gentlemen and welcome to the Second Quarter 2021 Earnings Conference Call for Venus Concept. At this time, all participants have been placed in a listen-only mode. Please note this conference call is being recorded and that the recording will be available on the company’s website for replay. Before we begin, I would like to remind everyone that our remarks and responses to your questions today may contain forward-looking statements that are based on the current expectations of management and involve inherent risks and uncertainties that could cause actual results to differ materially from those indicated, including those identified in the Risk Factors section of our most recent annual report on Form 10-K and 10-Q filed with the Securities and Exchange Commission. Such factors maybe updated from time-to-time in our filings with the SEC, which are available on our website. We undertake no obligation to publicly update or revise our forward-looking statements as a result of new information, future events or otherwise. This call will also include references to certain financial measures that are not calculated in accordance with generally accepted accounting principles, or GAAP. We generally refer to these as non-GAAP financial measures. Reconciliations of those non-GAAP financial measures to the most comparable measures calculated and presented in accordance with GAAP are available in our earnings press release issued today on the Investor Relations portion of our website. I would now like to turn the call over to Mr. Dom Serafino, Chief Executive Officer of Venus Concept. Please go ahead, sir.
Dom Serafino: Thank you, operator and welcome everyone to Venus Concept’s second quarter 2021 earnings conference call. I am pleased to be joined today on the call with our Chief Financial Officer, Domenic Della Penna and Chad Zaring, our Chief Commercial Officer. Let me start with a brief agenda of what we will be covering during our prepared remarks. I will start with an overview of our better-than-expected revenue results in the second quarter, including an update on how our business trends continued to improve during the period, which gives us further confidence in our 2021 revenue guidance, which we increased in our press release this morning. Chad will then discuss our strong system shipments results in the second quarter and how we believe it was a direct result of both improving overall system adoption trends, particularly in North America and strong execution of our targeted commercial strategy. I will then provide a brief update of our continued progress in the area of new product development. And then Domenic Della Penna will provide you with a more in-depth review of our quarterly financial results, our balance sheet, and financial condition and our updated guidance for the full year of 2021. Then we will open up the call for your questions. With that in mind, let’s get started with the review of our second quarter revenue performance and overall business trends. We reported GAAP revenue of $25.8 million, up to 52% year-over-year exceeding the expectations we provided in our Q1 call, which assumed a growth of 40% to 45% year-over-year. We are very encouraged by our second quarter revenue performance and believe it reflects the improving system adoption and procedural trends we have experienced during the quarter. Importantly, our second quarter growth both reflects both the continued improvement in our aesthetic and hair restoration procedure trends and the pace of system adoption. We are very encouraged by the strong execution of our global sales team in the quarter. The team was also able to substantially increase the qualified pipeline of new prospects across the full product portfolio, which gives us confidence in our increased revenue growth expectations for the balance of 2021. Diving deeper into our growth performance and improving trends we experienced in the second quarter. Q2 sales increased 14% on a quarter-over-quarter basis driven by 50% growth in revenue from sales of our subscription systems and 17% sequential increase in total leases and systems revenue. Our systems shipped increased 8% sequentially in Q2 reflect continued improvement in the capital equipment environment. System shipments under the subscription model increased 32% on a quarter-over-quarter basis in Q2 and represent more than 52% of our total global shipments in the period. As discussed on prior calls, the flexibility we have in our commercial model with unique pricing and payment options by our industry-first subscription model is an incredible lever that we have which differentiates us from our competitors. Importantly, this lever really empowers our commercial team to work with customers to identify not only the right technologies for their practices, but also the right business model for each clinic depending on their needs with respect to the improving procedure trends we experienced in the second quarter. Our real-time IoT data on our devices gives us strong visibility into the active device trends for a large portion of our medical esthetics install base. This average usage per system data reflects improving consumer activity demand for our product procedures during the second quarter. In terms of the procedure trends for our hair restoration customers in the second quarter, we are very encouraged by the continued improvements in utilization trends among our hair restoration customers, as global procedures on our ARTAS systems increased 37% year-over-year in the second quarter. Importantly, this global procedure growth was fueled by an impressive growth in North America, where procedures increased 67% year-over-year in Q2. ARTAS customers in North America performed the largest number of procedures in the second quarter in the last 4 years. We believe the strong procedure growth in our U.S. hair restoration business in Q2 was driven by a combination of an improving procedure environment during the quarter and strong execution by our commercial team towards our key strategy to reengage with U.S. customers who have ARTAS systems that we believe have been underutilized. We have made a concerted effort to engage with ARTAS customers throughout North America over the last 18 months and we could not be happier with the results. We look forward to continued strong utilization in the hair restoration systems part of our business going forward. I am going to ask Chad to provide an update to our second quarter performance on the system side of the business. Chad?
Chad Zaring: Thanks, Tom. Our second system sales results reflect improving system adoption trends in certain key markets around the world and strong execution of our commercial strategy. As you recall from earlier discussions, we have spent the past 12 months restructuring our global commercial strategy to divest our interest in smaller and less profitable markets and reinvesting those resources in higher opportunity markets, like North America and key direct countries in EMEA. Those efforts reflect in positive Q2 system revenue trends. Stripping out the effects of COVID and comparing Q2 2021 system revenue to pre-COVID levels in Q2 2019, we are up 10% and 25% in North America and EMEA respectively. Turning to a brief update on our Venus Bliss, we are happy with the continued strong market response to our differentiated non-invasive fat and body contouring platform. Global sales of Bliss increased 85% year-over-year in the quarter. Venus Bliss offers a significant clinical and financial opportunity to the customers and patients that we serve and the feedback we are receiving from the field continues to support these key points of differentiation. As expected, the investments in both our commercial team and in our marketing strategy continued to drive strong adoption of Bliss. We continued our Bliss roadshow in Q2 a multi-city tour aimed at increasing the pipeline for Bliss and driving market development and consumer awareness. We also launched our Bliss University Master class and focus the attention of our practice enhancement team to helping customers develop successful programs with the technology. We are also quite thrilled with the positive response from our customers, prospects and patients on our collaboration with Venus Williams for the Venus Bliss. We expected that adding Venus Williams as a global brand ambassador for the Venus Bliss would create significant brand awareness with consumers and provide significant patient lead generation given her global recognition and appeal. The initial response from the market following the announcement has exceeded all of our expectations. We have experienced a significant increase in visits to both our B2B and B2C websites. This initiative has also engaged our prospects and has accelerated the sales process. Since the announcement, Bliss sales in North America have increased 64% year-over-year and we have been especially pleased with the adoption trends we have seen from existing Venus customers as a result of this collaboration. Our customers are excited to capitalize on this partnership with our branded assets growing their Venus Bliss utilization and overall patient base. Notably, these key investments in our Bliss marketing strategy, combined with strong execution of our sales team, resulted in global sales of Bliss increasing more than 122% quarter-over-quarter in Q2. We remain very confident that we have a product that customers want and the right strategy to drive continued adoption and utilization and expect strong revenue contributions from this product throughout 2021. With respect to our second strategic product line, hair restoration, sales of ARTAS and NeoGraft up 90% year-over-year during the first half of 2021 and the qualified pipeline is up over 100% year-over-year. Our new commercial strategy is maximizing the opportunity of having the most comprehensive hair restoration solutions, offering available today. With ARTAS and NeoGraft, we have an end-to-end portfolio of minimally invasive solutions unique from any competitor in the $4.1 billion hair restoration market. We are seeing notable success with our customer targeting strategy as well and are driving strong new customer adoption among dermatologists and plastic surgeons. We expect to see accelerating growth trends in our hair restoration business as we move through 2021 as we leverage our improved targeting strategy of these core doctors as well as large national accounts. We are also exploring key partnerships with nationally recognized brands to drive procedure adoption. With that, let me turn the call back to Dom.
Dom Serafino: Thanks, Chad. To summarize our second quarter results, we delivered better-than-expected growth fueled by improving utilization trends and strong system adoption, particularly in North America. Our second quarter leases and systems revenue results, combined with a strong qualified pipeline we are actively managing today, were the primary drivers of the increase in our full 2021 guidance, which now calls for total revenue in the range of $102 million to $107 million, representing an increase of approximately 31% to 37% year-over-year. We are very confident in our outlook for 2021 based on our belief that we have the right product portfolio and the right commercial strategy which has us extremely well-positioned for future success over the near to intermediate term. Most importantly, the longer term outlook for the company is equally compelling as we continue to make progress in our new product development. We are pleased to announce AIme, or AIme the new commercial brand name for Robocor, the development project for our next generation robotic technology for medical esthetics applications. We wanted a name that embodies the innovation and science of artificial intelligence, AI, with the personalization of an aesthetic procedure. We feel AIme will resonate well with consumers on the AI-driven robotic treatment that is personalized for me. We are very excited about prospects of the AIme device, a robotic non-surgical procedure that will potentially disrupt the skin tightening and directional lifting market. We completed our feasibility and safety studies on our handheld device, which included 50 patients and 90 treatment zones across 6 different body sites. In early June, the first patient was treated robotically with AIme. And to-date, 7 patients have been treated on multi-parts of the body, including the arms, behind the ear, and most recently, the face. We are finalizing commercial design and are prototyping the look and feel design options. We also continue to make progress in preparation for our full human clinical trial. We have identified 3 clinical investigator sites and expect to enroll up to 60 patients with enrollment currently expected to begin early in the fourth quarter. We intend to submit to the FDA as soon as possible upon a completion of the study, which depending on the pace of enrollment is expected to be done by the end of Q1 2022. We are also excited by the prospects of our new product introductions, including the Venus Fiore, which recently received regulatory clearance from Health Canada in Q2. We have also submitted for 510(k) clearance for the Venus Freedom, the trade name of this technology in the U.S. market and we expect potential regulatory clearance in Q4 of this year. Lastly, we are also making excellent progress in our efforts to expand the Venus Bliss portfolio of systems and products, specifically, the Venus Bliss Max, a new device that not only includes fat reduction and skin tightening capabilities, but also muscle stimulation technology for body contouring and toning. This device addresses the three most in-demand body contouring procedures requested today all-in-one workstation. We expect this new device have a list price of approximately $250,000 and contributing gross margins above current company averages. We intend on adding a modest, but important utilization fee of approximately $100 per treatment. Importantly, we estimate that the ROI of just 33 weeks, which we expect will be extremely compelling in our clinician – to our clinician customers and compares nicely to the current 28-week ROI that Venus Bliss customers experienced today, based on the visibility we have of our IoT data platform. We are still targeting FDA submission in late Q3 which keeps us on track for potential clearances by the end of 2021 and a commercial launch – full commercial launch in early 2022. With that, let me turn the call over to Domenic Della Penna, who will provide a detailed review of our second quarter financial results and discuss our balance sheet and financial condition. Dominic?
Domenic Della Penna: Thanks, Tom. Given Dom and Chad’s detailed review of our revenue results, I will begin with a review of our financial performance across the rest of the P&L. For the avoidance of doubt, unless otherwise noted, my prepared remarks this morning will focus on the company’s reported results for the second quarter of 2021 on a GAAP basis and all growth-related items are on a year-over-year basis. Gross profit increased $6.8 million or 57% to $18.7 million. Gross margin was 72.5% compared to 70% of revenue for the second quarter of 2020. The increase in gross margin is primarily driven by higher sales of Venus consumables and improved revenue mix of system sales sold under our subscription program, primarily tracing to Venus Bliss. Total operating expense decreased $3.5 million or 17% to $17.2 million. The decrease in total operating expenses was driven by a decrease of $6.8 million, or 46% in general and administrative expenses, which reflects a positive $3.2 million bad debt recovery and a $2.8 million gain on forgiveness of government assistance loans partially offset by an increase of $5.6 million or 123% in sales and marketing expenses and an increase of $0.5 million or 29% in R&D expenses compared to the second quarter of 2020. Excluding the gain on forgiveness of government assistance loans and bad debt expense recoveries in Q2, our normalized total operating expenses were $23.2 million, up $1.1 million or 5% quarter-over-quarter. This sequential increase reflects targeted commercial investments and inflationary pressures, both of which we expect will continue in the second half of 2021. Total operating income increased $10.3 million or 117% to $1.5 million. Net income attributable to stockholders increased $13.5 million, or 103% to $0.4 million. Non-GAAP adjusted EBITDA increased $3.2 million, or 117% to $0.5 million. We have provided a full reconciliation of our GAAP net income to adjusted EBITDA in our press release this afternoon. Turning to the balance sheet, as of June 30, 2021, the company had $23.1 million of cash and cash equivalents and total debt obligations of approximately $77.7 million compared to $34.3 million and $79.6 million respectively as of December 31, 2020. The change in cash for the 3 months ended June 30, 2021 was driven primarily by $4 million of cash used in operating and investing activities offset partially by $0.1 million of cash provided from financing activities. We are pleased with our improving cash performance during the first half of ‘21. Our cash used in operations in the first 6 months of 2021 declined 51% year-over-year driven primarily by a reduction in our net loss and a 47% decline in cash used in working capital compared to the prior year period. Turning to a review of our guidance, as detailed in our press release this afternoon, we updated our revenue guidance for the full year 2021 period. The company now expects total revenue for the 12 months ending December 31, 2021 in the range of $102 million to $107 million, representing an increase of approximately 31% to 37% year-over-year. While we are not providing formal profitability guidance for full year 2021, we would like to offer the following considerations for modeling purposes. First, we continue to expect our gross margins to be in the range of 68% to 70% in 2021. This represents an increase of approximately 200 basis points versus the prior guidance range driven by the strong gross margin performance in the first half of 2021. Second, we continue to expect GAAP operating expenses of approximately $88 million, representing a 26% decrease year-over-year. Importantly, this represents approximately $92 million to $94 million of normalized operating expenses in 2021, which excludes certain items that impacted our GAAP operating expenses in 2020 and 2021, including non-cash goodwill impairment, incremental bad debt expense and recoveries, the forgiveness of government assistance loans, and the non-operating, non-recurring items related to retention, severance and other legal expenses, which together represented approximately $2.3 million of costs and expenses last year. All of these items were detailed in our non-GAAP adjusted EBITDA reconciliation tables in 2020. Third, we expect our interest expense to be approximately $4.5 million given the lower borrowing costs and debt obligations compared to the prior year. Fourth, we expect a non-cash G&A of $5 million and non-cash stock compensation of approximately $2.5 million. Fifth, we continue to expect our weighted average shares outstanding to be approximately $55 million. With that operator, we will now open the call to your questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question will come from Marie Thibault with BTIG.
Marie Thibault: Great. Good morning. Thank you for taking the questions and congrats on a nice result here. I guess I’d like to start with the impact of COVID. It’s nice to not hear too much discussion of it on the prepared comments. But I would like to hear a little bit about the impact you saw in your various geographies and where you feel that your customers are in terms of the recovery trajectory?
Dom Serafino: Yes. Good morning, Marie and thanks for the question. Look, we watch the news like everybody else. Ironically enough, I think that for the most part, our customers have learned to live in this COVID environment. The reason we are not overly concerned about it at this particular point in time as there are two data points that are providing a very high level of confidence for us. First of all, the continued growth in our qualified pipeline and qualified pipeline is defined as a 50% or greater likelihood of closure in a given quarter. That pipeline continues to grow very nicely. And secondly, as we look globally to our system utilization through our Internet of Things activation on our devices, we continue to see trends where customers are still treating patients above and beyond what they were doing pre-COVID. So these two data points have given us a fairly strong sense of confidence to the back half of 2021.
Marie Thibault: Okay, that’s helpful and encouraging. Maybe a question I guess for Chad, I wanted to get an update on the U.S. sales force, if I recall correctly you were undertaking some hiring efforts. So, I’d love to hear where headcount stands? And then on the Bliss news and in the boost from Venus Williams, curious how long do you think that boost or interest might last? Maybe some details on how long your partnership with her continues? And anymore details on kind of the outlook with that marketing initiative? Thank you.
Chad Zaring: Sure. Yes. Hey, good morning, Marie. Thank you for the questions. First off, the sales force expansion in U.S. has actually gone very well. We have communicated in North America, we would be at 70 sales people by the end of Q3 and we are ahead of schedule. We have done some dramatic overturns and changes and now increases to the U.S. sales force. And I am very pleased with the level of on-boarding and training and impact that our new reps are having. So we are ahead of pace on that. And we are optimistic that we will be able to fill out the team. Regarding Venus Williams, we actually believe given that we are in this rapid install base expansion of Venus Bliss, we think the impact can persist for some time. We are in a multiyear agreement. But as we bring new clinics on and open up, we are still in a position of opening up new markets. And so those clinics are very interested in how they can utilize the impact of Venus Williams as a brand ambassador to grow their own volume from a B2C level and we have a fair number of activities planned to turn into next year. So, we think that impact is going to persist for some time.
Marie Thibault: Alright.
Dom Serafino: Marie, just to add one – sorry to jump in, but just to add one more thing around the Venus Williams that we should consider. The numbers and the increase in sales activity and so on since we announced, we announced Venus Williams relationship in March, but it was just recently late in Q2 that the actual collateral materials to support the clinics, use of the images, brand etcetera, really only started late in the quarter. So to your question about how long we can sustain this, we believe that we have at least another 12 to 16 months of runway with her in terms of helping us promote and grow the Venus Bliss business. And by the way, we will also extend to Venus Bliss Max as well.
Marie Thibault: Okay. Very helpful. Alright, I’ll jump back in queue. Thanks for taking the questions.
Dom Serafino: Thank you.
Operator: The next question is from the line of Jeffrey Cohen with Ladenburg Thalmann. Please proceed with your question.
Jeffrey Cohen: Hi, Dom, Chad, and Domenic. How are you?
Dom Serafino: Good morning. How are doing, Jeff?
Domenic Della Penna: Good morning.
Chad Zaring: Good morning.
Jeffrey Cohen: Just fair enough. I will stick to two. So can you talk a little bit about the margins? It looks like you had a very strong quarter on the margin side. And I am just curious about the pull-through as it relates to this previous thinking in the high-60s and now it looks like perhaps low-70s?
Dom Serafino: Okay. So I’ll let Domenic Della Penna address that initially.
Domenic Della Penna: Sure. Thanks for the question, Jeff. So, we had a good result on margins in Q2. Certainly, we had good mix on the system side with Bliss having a good contribution. In addition, we are seeing very decent results on our consumables business, which also has a margin that is in the sort of the higher end of that range. So, to the extent that we are continuing to fuel that growth, that certainly helped us. Our view is that we’ve been a bit conservative in terms of the outlook in Q3 and Q4 on the gross margin side but there is also regional considerations to consider. APAC, for example, does not have margins quite as high as North America. So, it really depends on how the mix evolves over the next few months. But there is a bit of a hedge in that given the regional component as well. But again, the system side was quite strong due to Bliss and consumables are performing very well.
Dom Serafino: I want to just to add to that a little bit, Jeff, that given the very rapid ROI on the current Venus Bliss platform, as you recall I mentioned 28 weeks on average for the customers who are buying our devices, we felt it was appropriate to take a price increase on Bliss on an ASP basis. And we feel that that did resonate nicely without any pushback really from the customers in Q2 and we expect that will continue in Q3 and Q4, which ultimately given the mix, the product mix, ultimately, that will help us maintain our improving margins.
Jeffrey Cohen: Okay, got it. And then secondly for me, I guess for Dom or Chad, could you walk us through and give us an update kind of on your own international footprint and any commentary there from the quarter in the back half of the year? Thank you.
Dom Serafino: Yes, I will let Chad touch on. Well, I will answer part of it. First of all, one of the areas that we do still see some significant challenges is in Latin America. Obviously, COVID is still an issue in markets like Brazil. The good news is that Mexico has been pulling out of it very nicely and that happens to be our biggest market in our definition of Latin America. Chad, perhaps you can talk about the strategic decisions we made in EMEA which we think will bode well as we go forward and continue that disproportionate growth there as well.
Chad Zaring: Yes, sure, Dom. As I mentioned, the last 12 months we divested our interest in less profitable or less revenue opportunity markets. We reinvested in North America and EMEA, that’s going quite well with the 10%, 25% Q2 ‘21 versus Q2 ‘19 system sales growth in North America and EMEA. Outside the U.S. we are actually encouraged by the markets we are focused on the key direct markets, Australia, Mexico, Germany, the UK, Spain, France, we recently brought in a new sales executive in Q2 with significant industry experience in EMEA. He has already made some significant changes to the sales team and is expanding the sales team in key direct markets, so that we can garner more market share in our key countries we are focused on. So again, we consolidated reinvested in North America and EMEA and then in the markets o-U.S. where we are focused. We are focused on the same kind of strategy of expanding the sales force and driving the adoption of our strategic products.
Jeffrey Cohen: Got it. Thanks for taking the questions.
Dom Serafino: Thanks, Jeff.
Operator: Next question is from the line of Jon Block with Stifel. Please proceed with your questions.
Jon Block: Perfect. Good morning, guys. Nice quarter. I have got a small handful of them. And DDP maybe I will start with you just on maybe some clarifications, I just want to make sure the government assistance was backed out of the EBITDA calc I believe but the bad debt recovery was not, I just want to see if that’s correct. And then maybe the tack-on would just be for ARTAS, is that still expected to be roughly 25% of company revenues for this year?
Domenic Della Penna: Yes, so on your first question, you are correct, the government assistance loan, we consider a complete one-time item. In the area of bad debt recovery, we believe we – there is a possibility of more of that recovery happening in the balance of the year. We can’t bank on that, but we feel that there is that possibility, because we have provided for a bunch of accounts in 2020 that we identified as risky given that the accounts were shutdown and so on. But with the reopening, we had some positivity. So there could be some positive results that happened. And in the future, we don’t know for sure and that’s why we wanted to continue to show it as part of operating expense not backing it out.
Jon Block: And for ARTAS, sorry?
Domenic Della Penna: And for ARTAS, 25% is approximately in the range. It could vary by quarter. But overall on an annualized basis that’s still a number that we think is fair and representative.
Jon Block: Okay, perfect. Thanks for that. And then Dom, Max certainly seems exciting. Just curious what the approach is going to be with the existing accounts from a trading perspective and would you do that out of the gate or would you wait a little while and try to service brand new accounts first? Maybe I will stop there and then I will ask my final one after that?
Dom Serafino: Sure. I think the strategy is twofold. Number one, obviously, we think that having a three-in-one solution will be very appealing to new customers. And we think that the price range given the competitive pricing of standalone systems is really fair and achievable given the history we have with the Bliss on its own. So, the approach would be really twofold: number one, for customers that are in the top 10%, 20% performance. Again, remember, we can target these customers directly, because of our real-time data gathering as to how well they are doing. It may not be a trading program, it will be an add-on, simply because they can have two treatment rooms going instead of just one, because remember, you can only use the device on one patient at a time. So, this would give them flexibility to toggle back and forth between rooms by adding muscle stimulation and so on. We do intend to have a fairly aggressive trade-in program. But given where we believe our COGS will land on this product, the better than average margins that we will experience on the typical sale of a Bliss Max. It does give us room to do some pretty aggressive trade-ins for those who are very successful with the Bliss, but they may not necessarily go to a second room option.
Jon Block: Got it? That’s great. And last one, maybe a little bit long and two-part. But first, you have got great visibility from your IoT data. We have heard from other companies and aesthetics, some doctor taking well deserved vacations after a very difficult 18 months. I am just curious, as we get into the middle of August, what are you seeing here in the third quarter? Do you expect maybe pronounced seasonality? Hey, the market is okay, you are just seeing some guys go on vacations, unlike last year. And then Chad, maybe for you the last one, Bliss was that moved to or now sold under the subscription program? I just want to clarify that and if so, what led to the change? Thanks, guys.
Dom Serafino: Yes. So, I will answer the first one. And Chad, you can answer the second one. Unlike our competitors, our information is definitive. It’s not anecdotal. So, the truth of the matter is, we can see what’s going on globally. Whether well deserved or not. We are just not seeing any trend that doctors are taking time off. In fact, I think that they are relishing the increased traffic at the clinic level and taking full advantage of it. The second reason I can say that with a high degree of confidence is, is that we look at our performance so far in Q3 we are well ahead in terms of our tracking at this stage, compared to last year. So, we feel pretty confident in the fact that the clinics aren’t going to shut down for a couple of weeks in August or whenever, simply because I believe that based on our data points that we have, we are able to see very clearly what’s going on in real time on any given day, any given week. Chad, perhaps you can touch on the on the Bliss question.
Chad Zaring: Could you repeat slightly when you ask the second part? Could you repeat that, please?
Jon Block: Sure. I am sorry. Yes, I just thought, ARTAS and Bliss were not sold in a subscription. But I thought, it seem like Bliss is now being sold in a subscription model. So, I am just curious if that’s the case or not?
Chad Zaring: We reserve it for special occasions where we do a modified subscription for Bliss, if necessary. That’s what the client needs, but with a higher upfront license fee. So, we try to use it in specific situations. But ARTAS, we continue to take on a cash only basis.
Jon Block: Okay. I can follow-up with you guys. Thanks.
Dom Serafino: Great. Thanks, Jon.
Operator: Your next question comes from the line of Suraj Kalia with Oppenheimer. Please proceed with your question.
Suraj Kalia: Good morning Dom, Domenic and Chad, can you hear me, alright?
Dom Serafino: We can Suraj. Good morning.
Chad Zaring: Good morning, Suraj.
Suraj Kalia: I hope everyone is safe and healthy. Hey, so Dom, let me start out with a micro level question. May I ask you to quantify the Bliss performance of the quarter and more specifically, what kind of collateral material you are all talking about that would yield the net positive impact of this Venus Williams collaboration?
Dom Serafino: Well, first of all, Suraj, thanks for the question. We are not going to get specific into products. We have been pretty consistent in our approach. And we do know that, as we reported, our global sales were up 85% year-over-year. We continue to see very strong market response. Collectively, we think that the Bliss and the ARTAS system will represent consistently around 50% of our total business that we do. The investment strategies that we have made as it relates to Venus Williams and so on. As I mentioned earlier, we signed and prepared or reported I guess, if you will, all of the digital media assets, etcetera, etcetera with Venus in late Q1. And basically throughout Q2, we continued to perfect them and make these assets available to our customers. So, specifically things like in-clinic, marketing materials, in-clinic videos, in-clinic – sorry social media influencers, etcetera, using the Venus brand, with Venus Williams, we have just initiated a global contest with Venus Williams sort of leading the charge in that asking people to share their best Venus stories for a competition, if you will, in terms of clinical results, and so on that we continue to experience very nicely with the Venus Bliss. So, it’s a plethora of different materials that our customers can use not only for us in the B2B area for our sales organization, but also for B2C, given her global appeal quite frankly. Last but not least, one of the things that we are really excited about is that there is a new movie that is coming out, called King Richard, that comes out early November, I believe that is Will Smith acting as the Venus and Serena Williams, as dad and the evolution of these two sisters coming from Compton to the world stage. So, we think all of this stuff combined will continue to create a very compelling reason for the choice that we made with Venus Williams. And so far from our customer population, she has been extremely well received.
Suraj Kalia: Got it. Dom, one high level question and Chad I will throw one your way. So, Dom, as we come out of COVID, how would you characterize the competitive landscape, U.S. versus OUS? What is driving shifts if any? And also what procedure category are you seeing the most competitive activity, U.S. versus OUS? And Chad, if I could quickly throw it in there, and thanks for taking my questions, guys. Chad, how – you guys have been working Robocor or now AIme, if I pronounced that correctly? For some time now, how would you characterize based on your field information currently? How would you characterize the low-hanging fruit for Robocor? Gentlemen, thank you.
Dom Serafino: Chad, I would like to address both of those questions. And then you can add certainly.
Chad Zaring: Sure.
Dom Serafino: The first part when it comes to competitive landscape, we have all been around this industry a long time. That is not softening. I mean, there is always going to be a lot of competition in this industry, which is one of the reasons why we made the decision to acquire a robotic company to create a whole new category which we believe we are accelerating beyond what our expectations were. Specifically, as we look at the global footprint, there is no question that outside of North America, there is a tremendous amount of competition simply because there is lower barriers to entry. So, in other words, not an FDA process and so on. So, we – the categories that we see a lot of competition and obviously vary by region. For example, in EMEA, the category of fat reduction is extremely competitive because there is multiple players compared to North America, where really there is a handful of serious players. So, that’s one of the reasons why we also redirected our energies to North America, because we believe that we have a very compelling argument to make when it comes to our competitors and how we compete against them. To your second question, I will respectfully say, we haven’t been working on Robocor a long time, AIme. In fact, it’s basically just over a year. And if you look at any evolution of a product, even we would forget robots for a second, the typical product takes 2 years to 2.5 years, from idea to commercialization to come to market. We feel that we are ahead of schedule, given the fact that we have been able to already treat humans in feasibility trials, animal trials, and have actually got the robot now treating people out of the gate. So, I think that we are quite pleased with where we are. We have accelerated this project. We have put some real effort into it. The fact that we already had the baseline robot that was used at the Houston hair restoration. We felt that that gave us a very significant head start, if you will, to the next generation. And we don’t see any reason why that will slow down in any shape or form down the road.
Chad Zaring: Yes, Suraj. The only thing I would add as a proof to your question is. As in prior discussions, we have talked about expanding the artists install base rapidly to the core market of derms and plastics. So, we see AIme as an evolution of that – of a total robotic strategy for the office to create further distance between the core market and the differentiation from the Med Spa that they are trying to offer a higher level of clinical service and outcome to the patients. So, we see it as a great entree to go back to the install base and talk to them about the next – next robot.
Suraj Kalia: Thank you.
Operator: Thank you. [Operator Instructions] The next question is from the line of Anthony Vendetti with Maxim Group. Please proceed with your questions.
Anthony Vendetti: Thanks. So, I just want to focus on the two products that account for about 50% of your business, Bliss and ARTAS. First on Bliss, if you can correct me if I am wrong, Dom the – or Chad, did the Bliss product. The standalone Venus Bliss product does not have a consumable, correct?
Dom Serafino: That’s correct.
Anthony Vendetti: And the Venus Bliss Max, you mentioned approximately 250,000. And we will have a consumable of $100 a treatment, is that going to be $100 treatment for any one of the treatments that it will offer, because it will be a three in one, right? It will be fat reduction, body tightening and muscle stim, is that correct?
Dom Serafino: That’s correct, Anthony. So, I will share with you how we are looking at this. As we look at the Venus Versa, we introduced a treatment called TriBella a few years ago, which was basically a one hour treatment that included basically IPL, radio frequency and fractional resurfacing. This TriBella procedure was extremely well received, and really drove a lot of the business that we did for the Versa. We feel we are going to do the exact same thing for the body. So, the Versa was the face that the Venus Bliss Max will be for the body. And it will be the same type of scenario where we have a one hour treatment protocol, approximately 25 minutes of fat, 20 minutes of muscle stim to 25 minutes and 10 minutes of contouring. Our initial calculations are that, on average, based on our current IoT data on the Venus Bliss, we should be able to achieve an average of about six treatments a week per clinic in combination therapies. And that would translate. We are only going to have the $100 charge on the muscle stimulation portion of the technology. Now, this will not be a throwaway disposal. This will be a utilization activation code for lack of a better word on that particular element of the device. So, it’s a very high margin ops – opportunity for us which we think will be quite compelling in future years with the sale of the Venus Bliss Max.
Anthony Vendetti: Okay, yes. It’s helpful. So, the $100 treatment is only on the muscle component.
Dom Serafino: Correct.
Anthony Vendetti: Okay. And when you were talking about the trade in, you can’t just as I just want to make sure I am correct on this. You can’t just add the muscle stim component to a current Bliss, it would require our trading, is that correct?
Dom Serafino: Well, we haven’t finalized that yet, Anthony. For sure, we will not be able to do the upgrade in the field. But that doesn’t preclude us from saying that, hey, we will take the Bliss back, do it in-house and send it back. Right now, the plan is not to do that, because we don’t think that we need to do it, simply because as I have said earlier, the average return on investment is 28 weeks on our Bliss user base. So most customers, by the time the Venus Bliss Max will come out will not only have paid for the device, but also covered their cost of operator time, and so on. So, I think that the financial modeling that we can do, and the opportunity we can present to our customers is quite compelling. So, I don’t think that we are going to get a lot of that. I think that what’s really going to happen is more, as I said earlier, we can go to the top 20% of customers who are generating a very significant amount of revenue and simply say, it’s time to add a second treatment room, because you have got so much business. And by the way, if patient A, that was originally treated on the Bliss on its own and wants muscle stimulation, you can put them into room number two and do that sort of standalone there. So at this point, we are not upgrading per se to device, it’s not off the table. But we just don’t feel it’s necessary to do so as opposed to just selling them a second device and then taking full advantage of the utilization opportunity on the muscle stim.
Anthony Vendetti: Okay, great. That’s helpful. And then on ARTAS, I just want to see if I was correct on this, did you say was the best utilization quarter ever or in the last 18 months? I just wanted to clarify.
Dom Serafino: Last four years.
Anthony Vendetti: That’s utilization quarter in the last four years? Okay. Obviously, you made lots of improvements to that device. You have brought down the cost of goods sold. You have completely revamped the protocol? Is there anything else other than getting that message out there? I know there was an effort to bring down the treatment time so that a practitioner could potentially do two of these procedures in a day. Are you at that point yet or are you still – you are still working towards that?
Dom Serafino: So, we have spent the last year focusing predominantly on the implantation feature to improve it. And right now we have got it to a place where a doctor can harvest approximately 1,000 follicles an hour. And he can implant between 300 and 400 follicles per hour. Okay, so the total treatment time, plus or minus right now is around five hours to do a typical 2,000 follicle procedure. What we are working on to help further improve the platform now that we have been able to find our cadence, if you will, in the implantation is to get the implantation feature up to 600 to 700 per hour, which will ultimately dramatically improve the time from start to finish on the procedure. The goal here is to get the procedure down to four hours, again, using the typical 2,000 follicle transplant as the baseline. And we don’t think we are that far away from that, but it’s still going to take some time to make sure that everything that we are doing in the algorithms, the software, the cartridges that hold the follicles for the implantation part of it are going to be reproducible at every single clinic that uses the implantation feature in the device.
Anthony Vendetti: Okay, great. That’s very helpful. Thanks very much. I will turn it back.
Dom Serafino: No problem. Thanks, Anthony.
Operator: We are currently showing no additional participants in the queue. That does conclude our conference for today. Thank you for your participation.
Dom Serafino: Thanks, everybody.
Chad Zaring: Thank you.